Operator: Welcome to Cisco Systems' third quarter fiscal year 2015 financial results conference call. At the request of Cisco Systems, today's call is being recorded. If you have any objections, you may disconnect. Now I would like to introduce Melissa Selcher, Vice President of Corporate Communication and Investor Relations. Ma'am, you may begin.
Melissa Selcher - Vice President, Chief Communications Officer: Thanks, Kim. Good afternoon, everyone, and welcome to our 101th quarterly conference call. This is Melissa Selcher, and I'm joined by John Chambers, our Chairman and Chief Executive Officer; Kelly Kramer, Executive Vice President and Chief Financial Officer; Rob Lloyd, President of Development and Sales; Gary Moore, President and Chief Operating Officer; and our future CEO, Chuck Robbins. I would like to remind you that we have a corresponding webcast with slides, including supplemental information that will be available on our website in the Investor Relations section following the call. Income statements, full GAAP to non-GAAP reconciliation information, balance sheet, cash flow statements, and other financial information can also be found on the Investor Relations website. Click on the Financial Reporting section of the website to access these documents. Throughout this call we'll be referencing both GAAP and non-GAAP financial results. The matters we'll be discussing today include forward-looking statements and as such are subject to risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent reports on Form 10-K and Forms 10-Q and any applicable amendments which identify important risk factors that could cause actual results to differ materially from those contained in forward-looking statements. Unauthorized recording of this conference call is not permitted. All comparisons throughout this call will be on a year-over-year basis unless stated otherwise. As we have in the past, we will discuss product results in terms of revenue and geographic and customer segment results in terms of product orders unless specifically stated otherwise. I'll now turn it over to John for his commentary on the quarter.
John T. Chambers - Chairman & Chief Executive Officer: Mel, thank you very much. I am pleased resort another very solid quarter for Cisco. We delivered revenues of $12.1 billion, up 5%, and grew non-GAAP earnings per share to $0.54, up 6%. We maintained strong non-GAAP gross margins of 62.5%, generated $3.0 billion in operating cash flow this quarter, and returned $2.1 billion to shareholders through share repurchases and dividends. Last week was a great week for us as we announced the CEO who will lead Cisco in its next chapter. I am extremely excited to be joined today by Cisco's newly named CEO, Chuck Robbins. Chuck, welcome very much.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: Thanks, John.
John T. Chambers - Chairman & Chief Executive Officer: I am confident you will come to understand why the Cisco Board of Directors and I are so convinced he is the right leader for Cisco right now. As I reflect back, I'm extremely honored and proud to have led Cisco for the last 20-plus years. We set out to change the way the world works, lives, learns, and plays. And while many thought this was a very ambitious and not unobtainable goal, we absolutely have achieved that goal. We have delivered incredible innovation and have disrupted markets and at times ourselves. We have seen many competitors come and go. We've had our setbacks but always come back even stronger, something almost no other technology company has done. We have remained incredibly focused on delivering for our shareholders. We are a cash and profit machine and have maintained our margins over time by delivering sustainable differentiation through integrated architectures based on intelligent networks. What I am most proud of, however, is how well positioned we are to repeat the success of this last 20 years. Across every market and every industry, we are moving from the information age to the digital age, and the pace of change is only accelerating. Cisco is a very strong leadership position. Our vision and strategy are working as every company, city, and country becomes digital. They are realizing Cisco is best positioned to help them as they become digital organizations. What our customers recognize is Cisco's unique track record and ability to anticipate transitions and deliver the innovation to help our customers adapt and accelerate in this new environment. Cisco's sustainable differentiation over time, as reflected in our strong gross margins, profitability, and cash generation, is the result of our ability to deliver integrated architectures and solutions with scale, speed, and security no one else can. We've moved from selling boxes, cloud, mobility, or any other solution to partner with customers on their outcomes; 44,000 jobs in Barcelona, education and healthcare accessible to virtually every home in Israel, entirely new cloud-based revenue streams for service providers, and General Motors' smart factory of the future. Competitors selling low-cost technology building blocks can't compete with our total cost advantage, operational efficiency, security, and speed to results that Cisco provides. And when there is an issue, we have all seen the nightmare of trying to identify where and who to call translate in billions in lost business and reputational damages. When companies and countries go digital, IT becomes a board-level concern; and reliability, security, trust matter more than ever. The Cisco brand behind every one of our architectures matters more now than ever. We are seeing our moves from selling boxes to selling outcomes translate into strong execution in a tough global market. We are seeing many areas of strength, including global enterprise with order growth of 7%, global commercial orders up 6%, and global public sector orders up 7%. The U.S. excluding service provider was particularly strong, with Brian Marlier's U.S. enterprise order growth of 21%, U.S. commercial order growth of 11%, and U.S. public sector order growth of 10%. We saw good revenue growth across almost all of our technologies. The volatility in service provider and emerging markets we have discussed in prior quarters continues. Our service provider business remains challenged both globally and in the U.S. Service provider orders globally decreased 7% and U.S. service provider orders declined 17%. Emerging market orders were flat, with the BRICs plus Mexico down 6%, while the remaining emerging markets grew 6%. I believe we have organized well to capture more than our share in these markets and positioned ourselves for their inevitable upturns. Like every other company, we're also managing the impact of currency fluctuations globally. Kelly and I are both very pleased with the focus of the whole company on maintaining stable gross margins in this environment. We were especially pleased with how the sales teams have held gross margins in a very tough foreign exchange environment. Repeating the common theme, those critics that felt new software or business models would have a major negative impact on our business and our margins were just wrong. Clearly there are more positives than headwinds, and I am very pleased with our solid execution. At a time when many of our peers are seeing revenues decline, we delivered profitable growth, as we said we would, and over-delivered almost on every metric we set. Now I will move on to guidance. I continue to be pleased with our execution in a tough environment, the strength of our financial model, and the return we continue to drive for our shareholders. For Q4, we expect to see revenue growth in the range of 1% to 3% and non-GAAP earnings per share in the range of $0.55 to $0.57. Let me now provide some additional details on the business momentum we see in our geographies, customer segments, and product and services business within our portfolio. As a reminder, geographies are the primary way we run our business. For geographies and customer segments, I will speak in terms of product orders year over year unless otherwise noted. We finished the quarter with product orders up 2% and product book-to-bill of greater than one. Moving first to the Americas, the Americas grew in total 2%. I discussed up front the U.S. public sector growth of 10%, with the U.S. federal growth of 24% and state and local up 1%. We also discussed the very strong U.S. enterprise growth of 21% and U.S. commercial growth of 11%. And the U.S. service provider was down 17%. Latin America had another strong double-digit growth quarter. Moving on to Europe, Middle East, and Africa, we saw Europe, Middle East, and Africa growth of 2%. Europe first turned up for us five quarters ago, and since then has averaged mid-single-digit growth, including this quarter. If you take out Russia, we saw solid growth across all of Europe, Middle East, and Africa of 4%. We were pleased to see Asia-Pacific, Japan, and China return to growth, growing 1%; and just to give you an idea of what sometimes the emerging markets have an impact on in terms of our business, with Asia-Pacific, Japan, and China minus China growing at 8%. And finally, emerging countries; emerging markets in total were flat. The emerging markets excluding BRICs plus Mexico grew 6%. As discussed, we continue to see the BRICs plus Mexico challenged, down 6% in total, with Russia down 41%, Brazil down 10%, and China down 20%. We did see strong growth in Mexico, up 53%, and India up 6%. We are modeling the volatility in emerging markets to continue for several more quarters. Now moving on to customer segments, we discussed the strong growth of total global enterprise, up 7%, with total global commercial up 6% and global public sector up 7%. The new models we have implemented globally in each of these segments are working. In enterprise, the shift to selling outcomes, not products, is resulting in larger opportunities and dramatic increases in pipeline. In U.S. enterprise, for example, the value of our pipeline of deals over $1 million increased approximately 60% year over year, with the average deal size up over 30%. We are managing continued challenges in our service provider business, which declined 7%, as global service provider CapEx remained under pressure and industry consolidation continues. We believe the organizational changes we have made in our global service provider organization are working, and we are very focused on growing our share of wallet. At Mobile World Congress earlier this year, we issued announcements with over 10 global service providers, including the launch of Cloud VP and service with Deutsche Telekom, Connected Car service with AT&T, and a small sales solution for large enterprise deployments with Vodafone. Now moving on the products and service, I will discuss products and service business in terms of revenue year over year unless otherwise stated. Starting with switching, we saw another solid quarter in switching, with growth of 6%. The strong momentum of our application-centric infrastructure portfolio continues. The Nexus 3000 plus Nexus 9000 grew 144%. We added over 970 new Nexus 9000 customers and ACI customers this quarter, to reach a total over 2,650 customers. The 8-bit controller customers grew from over 300 last quarter to 580 this quarter. Nexus 9000 orders plus ASIC grew sequentially 27%, and we expect that sequential growth to accelerate in Q4. We also saw good momentum in our campus portfolio, especially in fixed. We did see some pressure in our modular switching as we managed the transition in the high end of our switching portfolio. As we've discussed, we expect this transition to continue for a few more quarters. I am particularly pleased that we have kept gross margins extremely stable in switching, even as we are driving our product transition in the data center. Moving on to the data center, UCS momentum continues with over $3 billion in revenue run rate, with over 43,800 UCS customers. The number of repeat UCS customers grew 34% year over year. The innovation UCS brought to the market, an architecture that converges networking servers and storage, has disrupted the market, and Cisco went from nowhere to the market share leader in x86 blades in the U.S. and the number two player worldwide, with more than 85% of the Fortune 500 companies now investing in UCS. We continue to see significant growth with our converged offerings, including VCE and FlexPod, in addition to the positive initial ramp with our IBM VersaStack solution. We had a solid quarter in NGN routing, which grew 4%. We saw solid performance in high-end routing again this quarter, up 5%, supported by strong momentum in our new product introductions, including the CRS-X and NCS, which were both up over 200%. This growth is a direct result of the transition we drove in our core routing over the last several years. During the quarter, Verizon announced it is moving to a next-generation 100-gig Metro network in the U.S. and that it will test and deploy Cisco networking convergence systems, the NCS. No one thought we were even in this game. Our ability to win the deal was entirely driven by our new generation in terms of engineering organization, our ability to deliver integrated architectures, our agility with engineering to realign resources quickly, the speed of our innovation, and our unique ability to partner with our customer to shape their future and the future of the industry. Moving on to wireless, we saw solid growth of 9%. Meraki continued with just very strong momentum, up 92% year over year, and it drove most of our growth this quarter in the wireless category, as they add new customers to their cloud-managed wireless platform. We did see some softness in the public sector wireless spending, driven primarily by E-Rate funding timing. Security growth rebounded to a strong 14%, with orders growing even faster. We saw a number of strong trends and data points that support our strategy to drive to an integrated security architecture across our customers' organizations. Customers are realizing that dozens of security vendors hinder business by not solving their challenges. As everything in the world becomes digital, they want a player who can step up and be their trusted partner across the board. No one is better positioned than Cisco. We believe we are the only player capable of providing an integrated architecture across intelligent networks and are confident in our strategy to be the number one security company for our customers. A few examples of our momentum include in this quarter we signed a record number of security enterprise license agreements. Our FirePOWER series, which integrates our Sourcefire software, are continuing to show very strong momentum, far exceeding our initial forecasts. And we saw continued strong traction and growth in our advanced threat solutions, including Advanced Malware Protection Everywhere and Cyber Threat Defense. Moving on to collaboration, our collaboration momentum continues, with revenue growth of 7%. This quarter was a strong quarter for TelePresence end points, with revenue up 19% and unit orders up a record 66%. The team is on a mission to put collaboration into every office and every room. Our strategy is to deliver a new generation of product experiences at significantly lower prices, and it is working. We also saw strong performance of our cloud-based offerings, with conferencing growth of 11%. More people than ever are using WebEx, with the number of billable users growing over 28% to over 15 million users. In the quarter, we launched Spark for Teams, which is proving to be a strong play in the very hot business messaging market. SP video declined 5%. We continue to focus on improving profitability in this business as we develop next-generation end-to-end video solutions combining hardware, software, and services. Services revenue grew 3%, with orders growing faster than revenue. We saw growth in both technical and advanced services. And our portfolio of cloud, security, consulting, and analytics grew in double digits again this quarter. Our gross margins continue to lead the industry by a significant amount and remain very stable in terms of services gross margin, in the 65% range plus or minus a point or two. We continue to believe our strategy to provide higher value to our customers by delivering business outcomes is working. The opportunities that are ahead of us as we move into the Internet of Everything [IOE] are very real. We look at the increased security requirements and the demand for security consultancy services. We also focused on the need to manage and capture insights for data distribution across the enterprise and network. We are moving rapidly to build the capabilities across our portfolio to differentiate Cisco's leadership in the Internet of Everything. Now let me provide an update on Cisco's momentum in cloud. We continue to lead in the hybrid cloud market and increase our intercloud momentum. This quarter we launched Phase 2 of our intercloud strategy, linking different clouds together using interoperable and app-centric software to create hybrid clouds. Rob, thank you so much for your leadership here; your team is doing a great job.
Robert W. Lloyd - President-Development & Sales: You're welcome.
John T. Chambers - Chairman & Chief Executive Officer: During the quarter we announced Cisco and Microsoft will integrate Cisco cloud innovations with Microsoft Azure to help service providers more quickly and cost efficiently launch new applications. We will also extend the enterprise-class security and services and customer private clouds to Microsoft Azure with Cisco Cloud Services Router, the 1000V. Within our strategy to work across hypervisors and stacks, we continue our investment in OpenStack with the launch at our Worldwide Partners Conference of Cisco OpenStack Private Cloud Solutions, aimed at on-premise cloud capabilities for application developers. To summarize my comments, our customer conversations today are not about standalone products. They are simply about digitization, growth, new revenue streams for them, innovation, and business outcomes. We believe we are pulling away from our competition using the same formula that we've always used, integrating our industry-leading products in every category into architectures and solutions that deliver real outcomes. We've created this opportunity and it is ours to execute. I will now turn the call over to Kelly for her comments in the quarter and guidance for next quarter; to you, Kelly.
Kelly A. Kramer - Executive Vice President and Chief Financial Officer: Thanks, John. Overall, we had a very solid quarter and executed well. From a top line perspective, total revenue was $12.1 billion, increasing 5%. And we expanded our non-GAAP operating margin to 28.6%, with both non-GAAP net income and non-GAAP EPS growing 6% to $2.8 billion and $0.54 respectively. Our GAAP net income was $2.4 billion, and GAAP earnings per share on a fully diluted basis was $0.47. Product revenue increased 6% and service revenue increased 3%, with product book-to-bill greater than one. For Q3, our total non-GAAP gross margin and non-GAAP product gross margin came in at 62.5% and 61.8% respectively. The increase in our non-GAAP product gross margin as compared to Q2 was driven by improved productivity, partially offset by product mix and pricing. Non-GAAP service gross margin was 65.0%. Looking at our geographic segment results in terms of total revenue, our Americas segment was up 8%. EMEA was up 2%, and APJC was down 1%. Total gross margin for the Americas was 62.9%. EMEA was 62.5%, while APJC was 61.2%. Our non-GAAP operating expenses were $4.1 billion, up 3% or 33.9% as a percentage of revenue as compared to 34.6% in Q3 of fiscal year 2014. Our head count increased by approximately 800 to 70,951, reflecting investments in key growth areas such as security, cloud, and software. The non-GAAP tax provision rate of 22% for the quarter was consistent with our expectations. Our GAAP net income and GAAP earnings per share included a benefit $164 million or approximately $0.03 per share related to the charge we recorded in Q2 of 2014 for a supplier component matter. The adjustment is a reduction of a liability reflecting lower than expected costs to remediate the impacted products with our customers. This amount is excluded from our non-GAAP results. From a balance sheet and cash flow perspective, total cash, cash equivalents, and investments were $54.4 billion, including $2.6 billion available in the U.S. at the end of the quarter. We generated operating cash flow of $3.0 billion during the quarter. Deferred revenue was $14.2 billion, up 8%. Product deferred revenue grew in the double digits again this quarter at 12%, driven largely by subscription-based offerings, while services deferred revenue also grew, up 6%, reflecting an increase in multiyear service arrangements. We continue to build a greater mix of recurring revenue, as reflected in our deferred revenue. Our DSO was 37 days as compared to 35 days in Q3 of 2014. In Q3 we returned $2.1 billion to shareholders. That included $1.0 billion through share repurchases and $1.1 billion through our quarterly dividend, which we increased 11% last quarter. So far in fiscal year 2015, we have returned approximately $6.2 billion or 83% of free cash flow to our shareholders, comprised of $3.2 billion of share repurchases $3.0 billion of dividends. Now let me provide a few comments on our guidance for the fourth quarter. Let me remind you again that our comments include forward-looking statements. You should review our recent SEC filings that identify important risk factors. And understand that actual results could materially differ from those contained in the forward-looking statements, and actual results could be above or below guidance. The guidance we're providing is on a non-GAAP basis with reconciliation to GAAP. As John mentioned, we expect total revenue to be in the range of 1% to 3% growth on a year-over-year basis. For the fourth quarter, we anticipate non-GAAP gross margin to be in the range of 61% to 62%. As we have said in the past, forecasting non-GAAP gross margin has always been challenging due to various factors such as volume, product mix, cost savings, and pricing. As a reminder, non-GAAP gross margin may vary quarter to quarter by a point in either direction of our guidance range. Our non-GAAP operating margin in Q4 is expected to be in the range of 27.5% to 28.5%. Our non-GAAP tax provision rate is expected to be approximately 22% in the fourth quarter. Our Q4 non-GAAP earnings per share is expected to range from $0.55 to $0.57. We anticipate our GAAP earnings to be lower than our non-GAAP EPS by $0.10 to $0.13 per share in Q4 of 2015. The range includes a pre-tax charge of approximately $100 million as a result of the restructuring actions that we announced in the first quarter. During Q3, we recognized pre-tax charges to our GAAP financials statements of $24 million related to that announcement, and we expect total charges not to exceed $600 million during fiscal year 2015. Please see the slides that accompany this webcast for more detail. Other than those quantified items noted previously, there no other significant differences between GAAP and our non-GAAP guidance. This guidance assumes no additional acquisitions, asset impairments, restructurings, and tax or other events which may or may not be significant. We believe we are executing well in a rapidly transforming market, and we'll continue to provide our guidance with all the appropriate caveats one quarter at a time. We encourage our shareholders to have similar considerations. As a reminder, Cisco will not comment on its financial guidance during the quarter unless it is done through an explicit public disclosure. I will now hand it back to John for his summary comments.
John T. Chambers - Chairman & Chief Executive Officer: Kelly, thank you very much and nice job. I believe Cisco is at a very positive inflection point. In our 1997 Annual Report, when it was not obvious that the Internet would take off, we boldly declared that an Internet revolution would alter the fortune of companies, countries, and people, and we saw it come to life. A number of years ago we started talking about the next phase of the Internet, the Internet of Everything. That will be much bigger than the last, and it will require everything to become digital. At the time, almost no one understood what we saw. Today, it's everyone's idea. The conversations we are having today with our customers are so similar in many ways to those that we had 20 years ago. We have always been the example and saw the transitions early. And when others start noticing them, they are well underway. As we help companies, cities, countries digitize, the outcomes are exciting, job creation, quality of life, efficient use of resources. Our customers feel the pace of change accelerating, and they see this disruption in every industry and market. They know their success depends on fast innovation, digitizing their business, entirely new IT organization structures and business organization structures. Whether they are the disruptor or the incumbent, they are coming to Cisco as their strategic partner in the digital transformation. As they build their businesses around mobile, cloud, social, data, and analytics, they recognize that integrated architectures with the intelligent networks at the core will accelerate or, if they don't take advantage of it, inhibit their ability to move with the speed, scale, and security required. In simple terms, they know they will either disrupt or be disrupted. I am spending more and more of my time with CEOs, boards of directors, and government leaders to explain the combination of technological, organizational, and process transformation to meet these goals of our customers. And, as in the 1990s, in order to be a true partner to our customers, we have to lead by example. This goes to the reference point for how you reinvent yourself to embrace the opportunities of digitalization and the speed of innovation required for the future. We are three years ahead in making our own transitions. And with the pace of change in our market, three years makes a huge difference. What does this mean for Cisco and our shareholders? First, we spent the last 20 years moving everything to IP and taking advantage of convergence. The intelligent network is at the center of every market transition, and no one comes close to Cisco when it comes to the network. As 50 billion more devices come online, we have a strong hand to play, and we are playing it. Second, we are driving outcomes for our customers through architectures. This is how we differentiate against white label and single-product companies, and you can see this in our financial results, our margin stability, operating leverage, market share, and growth. Third, in a digital world, security becomes even more important. Cisco is the logical choice as we combine a security architecture across the intelligent network. Understanding the direction of the market and challenging ourselves to reinvent is how we address this opportunity and drive long-term value for our shareholders. There could not be a better time to begin Cisco's next chapter, and there is no one more excited than I am to have Chuck Robbins as the next CEO for Cisco. I want to thank the Cisco employees who are leading our change and driving our innovation, and your patience and energy is making Cisco's future possible. Chuck, I know you will leverage the things that have made us great to date. I also know you will make changes when needed and drive innovation and new capabilities at a faster pace. Cisco's momentum is strong, and we are extremely well positioned for the opportunities created by digitization. Every business and government leader is learning the benefits of becoming digital, growth, leadership, efficiency, productivity, conservation, safety, quality of life, and education, these outcomes that are at the core of what Cisco has enabled for the last 20 years. We wanted to use the Internet to change the way we work, live, learn, and play, and that's exactly what we've done in the past and what we will do even more in the future. With that, Mel, we will move to the session that I enjoy most, which is the Q&A. I'm going to turn it over to you.
Melissa Selcher - Vice President, Chief Communications Officer: Great, thanks. All right, Kim, we're ready to open for questions. I'd like to remind anyone asking a question, please ask just one question. First question?
Operator: Thank you. The first question comes from Simona Jankowski with Goldman Sachs.
John T. Chambers - Chairman & Chief Executive Officer: Hey, Simona.
Simona K. Jankowski - Goldman Sachs & Co.: Hi, John, and congratulations on all that you have accomplished in the last 20 years. And I also want to wish Chuck all the best of luck going forward. In terms of my question, so, John, you spent quite a lot of time on this call talking about a very positive inflection point, and I just wanted to understand if that is something that you expect us to see externally in terms of accelerating revenue growth. Or do you think that because you're also transitioning to more software in a recurring revenue model, that's going to really mask it because we're going to have the business mix? And then in terms of timing, if it is something that you think will accelerate the business, are you looking at the next couple of quarters or more the next couple of years? I just wanted to get a sense of the timing of the inflection.
John T. Chambers - Chairman & Chief Executive Officer: Got you. And it's always fun. Mel, I'm probably going to break a couple of my golden rules of 20 years with some of my comments today. And, Chuck, you can do the same thing after 10 years on the job. But I'm answering them in sequence. First of all, the opportunity is absolutely in revenue growth and profit growth. And as you sell solutions moving to outcomes, and you can do that much faster because of your architectures in the intelligent network, you get margin stability and premiums to go with it. Let me use maybe just a couple quick examples of how I'd illustrate that. In the U.S. enterprise, if we would have told you that the top U.S. enterprise accounts under Brian's [Marlier] team were to be able to grow at 21% year over year, you would say I doubt that. But it took us a while and there were a couple bumps in the transition, but when you now grow at that rate and have the number of large opportunities increase at the pace that we saw, you can see an inflection point which will absolutely translate not just to growth in U.S. enterprise but globally. And let me give you an idea how that pipeline is expanding. We now sell business transformations, what Brian and Sandy [Hogan] do there together. In the present time, we have 1,200 projects going on business transformation and outcomes. That is a pipeline of $3.7 billion in opportunity over the next 18 months. Now we won't get all of that, but it gives you an idea of how rapidly that project has changed. They sell to the business community with support of the CIO as opposed to respond to RFPs. In the last quarter alone, you had 540 new projects in the quarter put into this pipeline, and they had a potential of $950 million. What Chuck has done so well, whether it's in the enterprise business and you take it globally, Chuck, and taking that model and rebuilding it to our vision and strategy make it together, it's exactly one of the reasons he got this job. The commercial marketplace in the U.S. has grown for six quarters in a row at approximately 10% to 11%. No one else in the world is doing those numbers. Again, Simona, it is purely business-based outcomes and selling architectures. And what Chuck has done there is he's taken what Alison Gleeson did and taken it on a global basis, and so you see the same opportunity from that perspective. In terms of our two headwinds, the emerging markets is hard to call, and I think it's awful easy to take out a couple pieces and say this is what our growth would have been otherwise. But think about it. Our problem in emerging markets is now down to three major countries. It's China. Asia-Pacific without China, instead of growing at 1%, would have grown at 8%. Chuck, you and I are going over there every quarter, which is mainly you going and me occasionally following. But we'll eventually get that one turned around assuming our governments get along. Russia in Europe, 41%, and it took down the numbers there a fair amount. But service provider, which was our biggest hit this quarter versus last quarter, instead of being down 1% was down 7%. And, Mel, we said last quarter it's going to take us time to get this fixed. We didn't expect a positive upturn. Here I'm going to break one of my rules. I feel very comfortable that you'll see in the next several quarters – Kelly is cringing, but that's all right, Kelly, you'll get used to it. Chuck, this is one of my bad habits I want you to keep. But if you look at service provider, we'll turn that back positive. The organization changes that Chuck made in the field that Pankaj [Patel] turned the engineering organization sideways to focus on outcomes, knocking down literally silos over 60 business units that now are integrated toward outcomes together. That will turn back positive. And we aren't modeling it because CapEx is going to increase. We do not think it will in the second half of the year. We think actually our share of wallet is going to change. Now let me put these pieces together. When you win a Verizon deal, people didn't get what that was. That was optical in an area that we've traditionally not been strong in. Because we organized our sales engine different, our service engines different, and our R&D engine different, we understood what the customer wanted. We understood on the fly how we'd realign resources. We understood how you're going to have a win rate that is much higher than ever before in markets that we haven't traditionally been as strong. So all those, Simona, translate into revenue growth and profit growth. So am I pumped? Oh, yes. And could I be more excited than ever to turn it over to Chuck and watch what's going to happen? I feel real good about our future, a lot of growth in revenues and a lot of growth in profits.
Melissa Selcher - Vice President, Chief Communications Officer: Great. Thanks, Simona. Operator, next question?
Operator: Thank you. And our next question comes from Amitabh Passi with UBS Securities.
John T. Chambers - Chairman & Chief Executive Officer: Hey, Amitabh.
Amitabh Passi - UBS Securities LLC: Hi. How are you, John? Congratulations again from my end; and, Chuck, congrats to you as well. I guess, John, the one area I wanted to maybe get your thoughts on, you've been talking about Intercloud. It's a key pinnacle to your cloud strategy over the last couple of quarters. Yet I think outside of some of the larger metrics you've shared in terms of the traction with data centers and customers, is there any help you can give us in terms of how we think about the monetization potential with Intercloud and how that's tracking for you?
John T. Chambers - Chairman & Chief Executive Officer: Rob has been the sponsor of this and the father, but let me start with a very positive area. Our service provider position is changing all for the positive. They look at us in terms of mobility leadership. They look at us in terms of video leadership. They look at us in terms of data center leadership. They look at us in terms of security leadership. And with our NFV and SDN capabilities, we are leading in software. And the pieces that were missing was how do you go into this new environment where each of these "public clouds in clouds" are separate and you have to be on different vendors or different companies' ability to go into it. And so what we're looking at, it first is an architecture and it cements our relationships in service providers. And then it really comes through to how you monetize it over time. This will just take time to monetize, but the effect we see indirectly is already huge when you talk about a Deutsche Telekom or a Telstra and our relationships with those. So, Rob, a little bit in terms of how you measure success but prior to when we get into the monetization stage.
Robert W. Lloyd - President-Development & Sales: Okay. So, John, I think the metrics that we study, and we actually get together once a week, one year into the announcement of intercloud, we have three key areas that we focus on. The first is the impact we're having in accelerating Cisco's success in private cloud. You just mentioned the 21% growth of UCS. You mentioned the increase in the number of customers, up from 300 to 580 with APIC. We've seen success with converged infrastructure. So maintaining that leadership position in private cloud, and now starting to track our success with the Cisco ONE Cloud Suite, which will bundle up our capabilities in UCS, UCS Director, the intercloud fabric, and all the client service catalogs. So if you look at all the metrics, we really do think on the scorecard of private cloud we're doing extremely well. The second thing we're looking at through intercloud is driving innovation through open source development. And you mentioned in Montreal that we had announced a private cloud version of OpenStack, OpenStack Private Cloud for developers inside the firewall. I will be tracking very closely how well we do in that environment with OpenStack. And clearly, with 65 partners embracing OpenStack in the public cloud, something you just mentioned, we're really tracking how well we do in delivering OpenStack in the public cloud. The monetization model is infrastructure, and we should measure how well we do in building the infrastructure that will sit in private and public cloud underneath this OpenStack innovation. And the final thing, and this is just emerging but you've seen some recent examples, is the richness of the software catalog that Cisco brings to the intercloud marketplace. We've seen very good momentum recently with hosted collaboration solution, delivered by over 60 partners. You mentioned Rowan's [Trollope] announcement of Spark for Teams, and that's a pure SaaS offer. And something a lot of people might have missed was the Cisco Collaboration Knowledge SaaS offers. So in the area of collaboration, you see a very rich set of offers. We're looking at that marketplace, which will be a combination of Cisco and our partners' offers, and we measure those going forward. So those three areas I'd say lots of work left to do, but the scorecard is looking pretty good.
John T. Chambers - Chairman & Chief Executive Officer: Thank you, Rob. Amitabh, thank you.
Melissa Selcher - Vice President, Chief Communications Officer: Great. Thanks, Amitabh. Next question, please?
Operator: Thank you. Our next question comes from Brian Modoff with Deutsche Bank.
John T. Chambers - Chairman & Chief Executive Officer: Hey, Brian.
Brian Modoff - Deutsche Bank Securities, Inc.: Hey, John, and congratulations as well on your new role. It's been nice working with you over the last 20 years. And, Chuck, good luck in your new role as well.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: Thank you.
Brian Modoff - Deutsche Bank Securities, Inc.: So my question, John, is by fiscal 2016 you could see the Web 2.0 CapEx higher than what you're seeing out of the carriers, the AT&Ts and Verizons. So how is Cisco positioned to sell into the web cloud customer base as trend setters in the spending market? And then how is Cisco preparing for the CapEx to OpEx transition you're seeing as cloud services shift from buying boxes to buying services? Can you talk a little bit about how you're seeing that play out and what you think that growth will be for Cisco over the next few years? Thanks.
John T. Chambers - Chairman & Chief Executive Officer: Sure. If you look at where we are, and let's call it the massively scalable data centers, the top 10, our role in that is evolving, and candidly we're starting to move much faster. If you watch our ability to bring new products to market, you're going to see us have all 10 of the major players as key customers shortly. And up to recently, as you know, we were missing largely in one of those. Secondly is Pankaj has turned this engineering organization sideways and began to really focus on speed of small agile teams. And I can walk through a number of examples from mobility to security, but let's just talk about now how we'll develop our high-end products. We used to think about developing a high-end product with maybe 3,000 people, at least three to five years to do it. Watch how we develop our next generation of router products for these major players, and we'll do it in less than 12 months with probably 225 people. And so you're talking, and what these players would say, Cisco, you're finally getting it. You're getting your speed of change with that. You understand how to make the transition. So I look at this as a very good opportunity for us to play in those with an increasing share of their spend. And different than our peers, we will do it with software independent where appropriate or a combination of software, hardware, and ASICs. And I really like our momentum we're starting to get in these accounts, and it ranges from the Microsofts of the world to the Googles of the world to the Facebooks, to the Amazons. Chuck, any thoughts on that one?
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: Yes, John. So one of the key tenets that I've talked about over the last couple weeks is our need in the future to rapidly realign and adjust our portfolio based on what we're seeing with our customer base. And I think that the moves that Pankaj has made are really going to allow us to do that more effectively. And I think that will allow us to deal with, Brian, the shift that you highlighted from CapEx spend to some of the Web 2.0 players, and we're working that portfolio now. We're working closely with many of them, and I think you'll see us evolve that as necessary over the next couple quarters. I think when you think about the SP space, I think the biggest thing we've done over the last year, year and a half is that we've really achieved architectural alignment with our SP customers, understanding where they want to go, and aligning our portfolio. And I think that our speed with which we've moved into the virtual managed services space and some of the wins that we announced that John referenced at Mobile World Congress and some of the wins with Verizon and others are indicative of our alignment with where they want to go, and I think you'll see more of that from us in the future.
Melissa Selcher - Vice President, Chief Communications Officer: Great. Operator, our next question?
Operator: Thank you. The next question comes from James Faucette with Morgan Stanley Investments.
John T. Chambers - Chairman & Chief Executive Officer: Hey, James.
James E. Faucette - Morgan Stanley & Co. LLC: Good afternoon, congratulations to John and Chuck from me as well. I just wanted as quickly on security, and it's an area that obviously saw good growth. But I'm wondering how security and security concerns may be impacting demand in some of your other product segments firstly. And secondly, also related to security, how should we think about your efforts in security in areas where you may see some room for improvement in the product portfolio, et cetera? Thank you.
John T. Chambers - Chairman & Chief Executive Officer: Got you. So security is the ideal market for us. It basically is made up of hundreds of fragmented players. We're the largest volume player at only 7.5% of the market. And you know our view, we don't enter markets where we don't have a good chance of getting to 40% market share with sustainable differentiation. We believe it's going to be set up for an architectural play, and it's going to require integration with intelligence throughout the cloud, throughout the data centers, the WAN down to the access, combining mobile with the Internet of Everything and digitization, et cetera. We're on a journey here. We love the momentum, 14% growth with orders growing faster, which I think was 20% growth, and I expect us to do a lot better than that over time. The pull-through on it is very interesting because now this goes back to when we sell, we don't sell a product or just an architecture. When you go in and you talk about digitizing your company, we talk about how all of our product architectures come together. And then when we talk about security together with IOE, digitizing your company, mobile, et cetera, you suddenly see how security ties across all those. So we're starting to get upgrades and we're learning how to sell this better. And probably again, Brian and Sandy's group have done the best job. We get whole – getting $10 million to $50 million upgrades of the whole network because of the security implications, how it ties together. It also gives us a seat at the boardroom where on the one hand, we can say you either disrupt or you die. And on the other hand, your major fear of a CEO or a board is what happens if we have a problem? How do I minimize it? How do I know I've done everything possible? And don't save me a couple hundred thousand dollars on a white label box that causes me a problem. So our win rate goes way up and our relevance goes way up. And you will continue to see us move in terms of additional moves as we go in the future. Chuck, I'm going ask you maybe just to comment about his indirect question, which is acquisitions. Don't tie down to a specific industry, but your overall view of innovation, how we defined it before, and your thoughts about are we going to continue with the model if that includes acquisitions in that model.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: Yes, John. So as I think about M&A activity going forward, I think if you look back at our strategy for innovation, it has always combined a combination of internal R&D partnerships and acquisitions. If you just look at the landscape today that we see in the consolidation of many of our peers and competitors, and, John, you've been talking about brutal consolidations for a few quarters now. Many of those that we see out there now are really around cost synergies, candidly that are between players that perhaps aren't as strategically well positioned. And when we see that happen, that usually creates opportunity for Cisco, and that's when we usually take advantage of those situations. The others that you see out there are more driven based on real strategic alignment and strategic acceleration, and those are typically done I believe by companies who are strategically better positioned in the marketplace relative to what's going on, which is where I would argue we are right now. So when I think about it, you'll see us take advantage of the latter. We'll leverage our go-to-market, our scale, our channel to accelerate time to market. And what I would – the example I would give you is Meraki. We paid $1.2 billion for Meraki when it had $100 million in bookings, and now we're on a $600 million bookings run rate by bringing that inside and leveraging what we're able to do. And that's what you'll see from us in the future, which is really I think M&A that fits within our innovation strategy with a great deal of accountability.
John T. Chambers - Chairman & Chief Executive Officer: Now Mel always kicks me underneath the table. And since it's my last one, we won't comment on rumors about acquisitions or not, but I wouldn't bet on the one that you heard today. Sorry, Mel. I know I'm going to break all kinds of rules today. Chuck, they're yours to rebuild.
Melissa Selcher - Vice President, Chief Communications Officer: Operator, next question, please.
Operator: Thank you. Our next question comes from Pierre Ferragu with Sanford Bernstein.
Pierre C. Ferragu - Sanford C. Bernstein & Co. LLC: Hi, thank you for taking my question. I'd like to discuss a bit the transition, the CEO transition, Chuck and John. Could you tell us about, John, how you see your role going forward as an Executive Chairman? How are you going to keep yourself busy? Are you going to have a day-to-day role with clients, and maybe if you can make a difference between maybe like a transition period and on a more like run rate basis to the back of that, how you're going to continue to be involved, if any?
John T. Chambers - Chairman & Chief Executive Officer: So let me first say it very crisply. Chuck is the CEO, period. He will make the decisions. I will be an advisor to him and I'll be very involved where he wants me to be. The things I love most are vision and strategy. I love time with customers, strategic partnerships, acquisitions, and whatever else Chuck wants me to do. I will be his wing man, period, in terms of how we do this. We were beginning to graph out our time. I think, Chuck, both your and my calendar is full, full time for about four months, and I'm trying to in this job be working about half-time. So, Chuck, the one assignment I give on this transition is to get me to half-time sometime in the fall because the hunting season is coming up.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: You realize your wife is paying me to keep you busy.
John T. Chambers - Chairman & Chief Executive Officer: Yes. My wife got Chuck's number so she could text him when it was time for me to go on the road again. But it's a nice way of saying that as we look forward, the transition will be very smooth. I will be an advisor and a coach for Chuck. We will not talk about that publicly. And I will do work where we can add value. I think a model that's similar is what Intel's done with Andy [Bryant] and BK [Brian Krzanich], where BK uses Andy very effectively with the board in key projects areas. And candidly, I think, Chuck, you went down to talk to BK – Brian about what that role might be. But it's Chuck's decision on this. And, Chuck, maybe your comments and you could also share what you plan to do over the next 90 days, if you want.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: I think, Pierre, I would say that the one thing John has been very clear with me is exactly what he just said to you, and he's been unwavering in our discussions on that. What I would say is that everyone's been asking me what our priorities are, what we're going to be focused on. And as I've said to everyone, we went through the process with the board and we prepared a great deal of our thoughts around strategy and what we would do. And now I want to just test that with our team. I want spend the next 90 days just talking to our leadership team, our employees, our customers, our partners, our shareholders, analysts to really just make sure that the theories and the things that I think we should be doing are in alignment. And I'm going to focus – beyond that, we're going to focus on aligning our resources against the best priorities for the company. I really want to focus secondly on clarity and simplification of our messages, and that's internal and external. We'll take what Gary's done and built with a lot of the operational capabilities and the processes that he's built, and we'll double down on that and continue to work. And that includes across revenue opportunities, expense areas, as well as gross margins. And then finally, we'll double down on our culture, because I think one of the things that has just made Cisco fantastic are our people. So that's a big focus area for me as well.
Melissa Selcher - Vice President, Chief Communications Officer: Operator, next question?
Operator: Yes, thank you. Our next question comes from Mark Sue with RBC Capital Markets.
John T. Chambers - Chairman & Chief Executive Officer: Hey, Mark.
Mark Sue - RBC Capital Markets LLC: Thank you, John. Hi, thank you, John, and welcome, Chuck. So Cisco is steadily growing its SaaS business and the recurring revenue. So with this uptick in the pace of software growth as we transition from boxes to solutions, should we start thinking of and planning for a long-term lift to margins? And with more software comes higher cash flow. Should we start to also think about more cash ultimately coming back to shareholders?
John T. Chambers - Chairman & Chief Executive Officer: So a series of questions. Let me take part of them, and then Kelly can kick me or not. You are going to see us move more and more into recurring revenue and deferred revenue. The art is to do both at the same time, Chuck, and I believe in 'and'. We want to grow our revenue in the short term and long term and our profits in the short term and long term faster than revenue. But we clearly are moving rapidly through that transition. Probably the best example to give you on what's been successful would be the example in terms of what we're doing in the security space in terms of Meraki where you begin to probably split it two dollars for one dollar. Two dollars for current, one dollar is for later. And as Chuck said, you start with a $100 million pace and you go all the way to a $600 million pace fairly quickly. The second would be collaboration. The numbers were great on collaboration at 7% growth in TelePresence units and 66% year-over-year growth, and the new products being developed in I think was 12 months with the deferred pipe and 18 months to market with only 200 people. But what I loved about this quarter with collaboration is their deferred revenue went up 20% to $1.1 billion on the quarter, so you're beginning to build recurring revenue and deferred revenue pipeline that feels very good. In terms of our capital allocation, you're going to see us remain committed to delivering our capital allocation, as Kelly has outlined, and we'll continue to be aggressive with a minimum of our free cash flow going to our shareholders. And you'll see us – we wouldn't have started the dividend if we didn't anticipate regularly raising it. And you're going to see us be active in the share repurchase as well in terms of the capital allocation. So no major change there, Mark.
Melissa Selcher - Vice President, Chief Communications Officer: Operator, next question?
Operator: Thank you. The next question comes from Tal Liani with Bank of America Merrill Lynch.
Tal Liani - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Yes. Hi, guys. I'm adding my own congrats to John and Chuck. I wanted to ask about switching. You're into a major cycle of switching, new products that brings you into new markets or develop new markets, et cetera, and creates a replacement cycle. But still, the numbers are not that impressive, at least on a sequential basis. Revenues were down 6% in January and down 1.5% this quarter. I know on a year-over-year it looks good, but that's because last year was so bad. So I'm trying to look at the sequentials to see what the growth is looking like. And the question is why don't we see higher numbers with switching? What prevents the numbers from going up? And maybe you can relate here to units versus prices. I'm trying to see if it's a pricing issue rather than a units issue. Thanks.
John T. Chambers - Chairman & Chief Executive Officer: Tal, we've known each other for a long time, but I'm going to be very direct. When you have switching revenues up 11% last quarter, up 6% this quarter, it's off the charts. And if I would have told anybody on this call two years ago that I'd be getting questions about switching revenues only growing 6% in the quarter, you would have said you've got to be kidding me because everybody was modeling zero and they were modeling margins to go down. Kelly, our margins on the switching actually were at the higher end of our range. They've been remarkably consistent for the last eight quarters. So all this garbage about new players coming in and software coming in and white label killing our approach was entirely wrong. And the feeder system looks really good. If you watch at the campus level, you have all of the drivers of low-end switching, from IOE to digitization to security to mobility all driving this upgrade in wireless. And then at the high end, we're in the middle of a transition, which we executed remarkably well and we took the pain. We announced the products early. We knew there would be a transition from the Nexus 9000 to the Nexus 7000. The Nexus 9000 growth is off the charts. I want to be careful with my word selection. We are beating our competitors that you all were worried about. We moved past them in less than one year of shipment. We're growing sequentially 27% where our competitors are modeling to the market flat sequential growth. That is market share gains at tremendous speed. Now it will take us a couple more quarters to work through the Nexus 7000 decline and get it balanced out and you'll see us move a lot of the capabilities of the Nexus 9000 to the Nexus 7000 over the next couple of quarters. I know, Chuck, you've got that with one with Pankaj and the balance. So the bottom line on switching, we're taking share, we feel really good, we're going to kick the other competitors, and it's a very good growth market, and I will never apologize for growth in mid-single-digits on switching.
Melissa Selcher - Vice President, Chief Communications Officer: Thanks, Tal. Next question?
Operator: Thank you. Our next question comes from Brent Bracelin with Pacific Crest Securities.
Brent A. Bracelin - KeyBanc Capital Markets, Inc.: Thank you for taking my questions here. John, you started out breaking a cardinal rule. I have a follow-up on that one. Hopefully, you'll be willing to share more color. As you think about, as you look at digital transformation projects, the 1,200 projects, $3.7 billion pipeline certainly is, and a proven proof point, shows you at least why you're seeing some of the strength in the enterprise and commercial side. My question and the question I get from investors a lot is, how is Cisco doing relative to expanding the footprint beyond the core switching and routing business? It's still 45% your revenue today. So as you look at that pipeline around digital transformation, what's the attach rate on servers, software, services? Can you give us some color that, some leading indicator that will let us understand how you well you're doing relative to expanding the overall footprint as you help enterprises transform their businesses?
John T. Chambers - Chairman & Chief Executive Officer: It's interesting, and I want to think about how to answer that or maybe have Chuck answer it on the next conference call in more detail on it. But almost all of these sales are no longer about switching and routing. They are purely outcome-based, and it is GDP growth, it's inclusion of minorities, it's job creation, it's healthcare, it's education, it's the citizens experience, and the businesses it goes across all industries, and what you do is you pull through everything at one time. And so when we think about the total value of digitizing a company or a country, you suddenly see where we do these programs, those accounts grow at 10% – 15% faster than what they did during our prior model in terms of the opportunity on it. And in terms of routing and switching, you can see the numbers. I would expect that other segments of the market, as SP and emerging come back to life, and they will. I think SP we will see in a couple of quarters, not because of CapEx spend but our positioning. In emerging, eventually these three countries will level back out. You will see the architecture sales where that segment outside switching and routing grow well. Now the point the Tal just asked, every time we sell these others, it bolsters switching and routing. And this is where intelligence in the network and our speed of architectures get outcomes that those do not. And that will drive the services, Gary. That will drive the margins, Kelly, across the board that we get. We might think about a way of defining it a little bit more, but the bottom line is most of our customers that are with us on the digitization don't even think about us as routing and switching anymore. And the fast-growing areas of collaboration, business messaging is one of the hottest areas growing period across the board in terms of the approach. Collaboration, if we can get 3% to 5% productivity in a company, and I think what we're doing around the Spark capability and the TelePresence and this all came together, we can do it. So it's nice way of saying I think you're going to see our areas outside of switching and routing grow rapidly. The cool thing is it pulls through switching and routing. And the best of all, architectures beat white label and free software.
Melissa Selcher - Vice President, Chief Communications Officer: Great. Great question, Brent. Operator, next question?
Operator: Thank you. The next question comes from Ittai Kidron with Oppenheimer & Company.
John T. Chambers - Chairman & Chief Executive Officer: Hey, Ittai.
Ittai Kidron - Oppenheimer & Co., Inc. (Broker): Hi, John, and again, congrats to you; and, Chuck, good luck to you in your new role.
Charles H. Robbins - CEO Designate, Senior Vice President, Worldwide Field Operations & Director: Thanks, Ittai.
Ittai Kidron - Oppenheimer & Co., Inc. (Broker): John, I had a couple of questions. First, going back to the service provider comment, you talked about it being sit down 7% globally. Your routing business was actually up on a year-over-year basis, and yes, your service provider video was down 5%. But can you give us a little bit and make up the difference? What are the other product categories in which you're seeing issues or challenges on the service provider side? And then second, regarding the transformation point, which is very evident in your U.S. results, which are quite impressive, what is it in that pitch that doesn't resonate or takes a long time to resonate everywhere else? Why is that not something that drives Europe up as well 10% – 15%?
John T. Chambers - Chairman & Chief Executive Officer: Got you, so several things. First of all, on the service provider video piece, the orders were down about 20% in SP video, so I don't want to mislead anybody with the 5% revenue number. But the exciting part is we're picking up momentum in the cloud segment of this and the software in the cloud, which is clearly where we want the revenue to go. The architectural play wins here. Set-top boxes are tactical, but cloud winning on video like [Khaled] is doing there is strategic to us. Go to the U.S. If you take out one of the large service providers, you're all of a sudden instead of talking down 17%, you're talking down 6%, and the cable players had the other part. So we're starting to grow in many of these players globally, and it's just a few of them that have a major impact. Through the third part of the question, it takes a while. When Chuck announced and did the commercial operation here, Chuck then put Alison in charge of this on a global basis. But it takes literally a year to go through this transformation. Some countries pick it up quicker than others, and sometimes you have to give some of these countries and nudge after the fact. Brian's total business transformation that he and Sandy are leading, that takes longer to roll out and more time. So even if you've watched with them, there was a disruption as they moved rapidly. That's where you saw the business actually slow for a couple quarters before it took up. And then there's the whole coordination with engineering. And one of the key reasons that Chuck got this job, among others, is his ability to coordinate these resources together in division and strategy to determine the outcomes in terms of the direction. It's a nice way of saying it's a multiyear journey. The cool thing is using U.S. enterprise as an example. Once they got it going the pipeline is accelerating, and you'll see that around the world. And that's why we feel comfortable with the long-term growth, Simona, not just looking out a year or two. But we will get more than our fair share. Now let me put this in proper perspective. If you watch where we are, all of our major IT players almost without exception are going down year over year. It's a disaster in the market. If we had our midpoint of the numbers we just gave you, we will be at a record earnings per share and a record quarter in terms of revenue. So we're taking share, spend, and position the market extremely well as we go forward. So I feel very good about where we're positioned, Mel, and you're nicely saying that's going to be my last question.
John T. Chambers - Chairman & Chief Executive Officer: All right. Let me move to close a little. It's been an honor. First, I want to thank all of you around this table. This leadership team is amazing. Our virtual table of the operating committee and leaders, it really has been an honor. It has been fun. It's been challenging, and I'm just very humbled by having this chance for 20 years. Chuck, you're going to love this job. When I look about where we are today, what excites me the most is what we've done on culture and how we've built an engine platform innovation. And if you watch the innovation we're talking about in many of these areas, what used to take thousands of people, Pankaj does with 20. We do the new mobility capability with data combining Wi-Fi with 3G and 4G in a way with 18 people in eight months. You make moves in security the same way. You bring Spark to life with business messaging with 200 people. We can now rival the best startups there are in the world and out execute them because they can build off of that capability. What gets me very comfortable about our future, I said nicely, our competitors come and go. Chuck, I'm thinking about playing golf lately. But the exciting part about where we are is that you and I are on the 18th hole and we're already ahead by five strokes in team play. And all of our competitors have hit their golf balls off into the woods they're looking for it. And we're going to finish off this game, and by the time we're through, they're still going to be looking for the golf balls. If you really look at the market and you think innovation is breaking a company in half and having to roll the dice of combining two companies that are really five companies into one, and you begin to think about having to cut expenses dramatically and then double-down that you can move to a software play only. And when we said this year at the sales meeting, and people forget that's just eight months ago, that if you look at key competitors like HP and Alcatel-Lucent and Arista and VMware and Avaya and we name several more, we said half of those won't exist in a meaningful way as competitors to us in a year. And everybody said, yeah right, look where we are already in eight months. It's a nice way of saying we're going to become the number one IT company. It's been a tremendous honor to lead this organization. It's one that will do better after me than during my time, and that's a way of saying like your kids, this team has built tremendous strength. They're going to do even better in the future. So it's really been fun for me. It's also going to be fun being your wing man, Chuck, but I'll just spend my time where you want me to spend it and enjoy this moment. And it's much like when I ran today. Mel, you judge. She said go out and run a lot this morning. I did and I was determined to set my new course record when I ran. I got stopped in the first half mile. I'd never seen this before in my life, but the biggest buck I've never seen. It was probably a 12 point, maybe 14 point. It was right in my path 10 feet from me. And I looked it right in the eyes and at first I was annoyed because I was trying to set my timing. And then I realized you want to enjoy the moment and how special that was. But I lost, I missed my timing, Mel. I didn't make it by 10 seconds. But it's a nice way of saying that we're a competitive organization, one that is far from perfect, and I've been a far from perfect leader, but one that I'm very honored to have lead and it's really nice, like a family that I want this to do even better as I move on to the next stage of my career, which is more one of a coach. So, Chuck, enjoy the moment. You're going to be a fantastic new CEO, and you're going to great things here at Cisco. And this team is literally unbeatable.
Melissa Selcher - Vice President, Chief Communications Officer: So to close the call, Cisco's next quarterly call, which will reflect our FY 2015 fourth quarter and annual results will be on Wednesday, August 12, 2015, at 1:30 PM Pacific, 4:30 PM Eastern. Again, I'd like to remind you that in light of Regulation FD, Cisco plans to retain its longstanding policy to not comment on its financial guidance during the quarter unless it's been through an explicit public disclosure. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation and continued support. This concludes our call.
Operator: Thank you for participating on today's conference call. If you would like to listen to the call in its entirety, you may call 1-800-839-1170. For participants dialing from outside the U.S., please dial 1-402-998-0559. This concludes today's conference. You may disconnect at this time.